Operator: Ladies and gentlemen, welcome to the half year results 2021 investor and analyst conference call and live webcast. I am Sandra, the Chorus Call operator. [Operator Instructions]. At this time, it's my pleasure to hand over to Mr. Pierre-Alain Ruffieux, CEO. Please go ahead, sir.
Pierre-Alain Ruffieux: Thank you, Sandra. Good morning and good afternoon to you all, and thank you for joining us today for the H1 results. Also here with me today is Rodolfo Savitzky, our Chief Financial Officer. Let's start with a look at our agenda for the session. I will provide a corporate update before handing to Rodolfo to share an overview of our half year financial performance. Finally, I will take you through the performance of each of our division and say a few word about H2. Once we have completed the presentation, there will be time for Rodolfo and me to answer your questions. Let's start by talking a look at our highlights for half year 2021. We are pleased to report continuing strong performance level in the first half. Sales have been growth by 14.7% at constant currency, and we have achieved 33% margin. These results were divided -- sorry, this result was delivered while we continue to experience headwinds from the pandemic. This has impacted how quickly we can ramp up new asset as well causing some delay to a wider manufacturing schedule. The divestment of our Specialty Ingredient business to Bain Capital and Cinven was agreed on February 8 and completed on July 1. This will allow us to give our full attention to our health care business. Now we are accelerating growth investment to ensure we can capture market demand and capitalize on future opportunities. Our investment plan are supported by a healthy pipeline business. As part of our continuing focus on sustainability, we have agreed a path forward with the local authorities for our legacy landfill sites in Gamsenried. Also, in the first half of '21, we were recognized by the Ethisphere Institute as one of the world most ethical companies. This year, we are one of just 2 company globally to receive this accreditation in the pharmaceutical category. Finally, we are pleased to make an upward revision to the mid-teens for our H2 sales growth forecast. Our core EBITDA margin will continue to improve in line with the midterm guidance trajectory. Let's take a look at some of these key area in more detail. Earlier this month, we completed the divestment of our LSI business to a consortium comprising Bain Capital and Cinven. We achieved an enterprise value of CHF 4.2 billion. The sale completion marks the end of a 2-year separation program. During this time, we have carved out LSI from Lonza and worked to transform our health care business. Since January, we have been operating with an updated and simplified structure to support our strategic focus and operational delivery. We have now 4 clear division, including Small Molecule, Biologics, Cell & Gene and Capsule & Health Ingredient. As we complete the divestment of LSI, we have an opportunity to consolidate our focus and identity as a strategic partner to the health care industry. As well as consolidating our identity, the sales proceeds from LSI give us an opportunity to accelerate our investment in our health care business. Currently, we are focused on accelerating internal growth through continuing CapEx investment. This is reflected in our ambitious H1 investment announcement. We will look at this in more detail in a moment. We anticipate that our current level of CapEx spending on growth initiative will continue to accelerate over the course of H2. Rodolfo will talk about this in more detail in the finance section. The majority of divestment proceed will be invested in an internal growth project over the course of 2021 and beyond. We are also considering acquisition in key strategic area and new technologies. As I just mentioned, a proportion of our LSI proceed will be invested in internal growth opportunity. It is a snapshot of all CapEx has been committed to grow investment over the course of H1. We expect to increase the investment momentum over the course of H2. As you will see, we are placing strategic focus on growing our footprint in area of high commercial potential while expanding end-to-end solution across modalities. This will help us to become a one-stop shop for our customer on every step on the path to commercialization. Importantly, we should not view CapEx investment in [indiscernible]. There will be also OpEx associated with the recruitment and ramp up before our investment begin to deliver return. Despite this unavoidable short-term impact on margin, all these investment are important to ensure our long-term growth and success in the CDMO space and to maximize our long-term ROIC. The ambitious scale of our growth investment is matched by high level of customer interest. Here, you will see a small snapshot of customer who have either commenced or expand their partnership with Lonza in the first half of 2021. Alongside this customer, we have signed contracts with a series of large customer who prefer to remain confidential. Looking at specific facilities. We see that our Ibex offering meets strong market interest. As we announced last week, a significant proportion of our new large-scale mammalian facility in Visp has already been contracted by an existing customer. We are also pleased to confirm that the Biologics facility in Guangzhou, China is fully validated and operational, with several customer already signed. More widely, we are seeing an increasing customer focus on new modalities, including our first customers signing for exosomes. We are also seeing expanded customer collaboration in more targeted therapy area, including high-potent APIs, ADCs, Cell & Gene Therapy and Viral Vector. Finally, we are seeing continuing customer demand for COVID-related project. As we turn our focus to COVID-related projects, we would like to provide you with a short update on our collaboration with Moderna. In Visp, we have now completed the ramp-up phase for the free vaccine production line established last year. In April this year, we expanded our collaboration with an agreement to establish three further production line in Visp. We have started to work on the installation and currently expecting to commence ramp-up early 2022. Building on this positive momentum, we announced further expansion of our agreement with Moderna in June this year. This allows for the installation of one further production line in our facility in Geleen, Netherlands. We expect this to be operational and enter ramp-up by end of this year. Finally, as part of our original agreement with Moderna, we have one vaccine production line in Portsmouth, New Hampshire. This has been fully operational since 2020 and is on track to deliver expected level of acceptance. I'm pleased to report that our collaboration with Moderna has now reached a more mature state, and our great margin level are in line with the wider Biologics business. Now let's take a look at the wider work on COVID-related projects. As you will see, we have made progress with a number of different customer and treatment. In January, we announced our collaboration with Capricor to develop a new cell therapy. For our existing customer, we have managed to maintain and expand operation. And for our new customer, we have delivered on our commitment to commence operation and ramp-up through the pandemic. Much of this is thank to the commitment and determination of our global employee base. I would like to take this chance to thank them for their exceptional performance. They have helped us to deliver impressive level of sales growth in H1. We have achieved this growth despite headwind caused by delay to raw material and equipment supply, which has impacted our scheduling and project ramp-up. We are anticipating similar headwinds over the course of H2, but we don't know -- we don't see material impact. As part of our wider commitment to sustainable business, we are focused on ensuring we are actively addressing legacy issues. In this context, we have been working closely with the cantonal authorities of Valais to find a lasting solution to the groundwater pollution issues caused by our old Gamsenried landfill. We have now agreed to a path forward to provide a permanent solution to this legacy pollution issue in compliance with the current environmental protection legislation. In line with IFRS requirement, we have made a provision of CHF 290 million for the first phase of the Gamsenried remediation project. This will take around 10 year to complete and will commence in 2023. We have worked with our environmental expert to reach a reasonable cost estimate, and we believe this provision should cover the majority of total remediation costs. We are actively addressing our legacy issue by investing in lasting solution. This will ensure we are well placed to push forward with the ambitious sustainability agenda in the year to come. I will now hand over to Rodolfo to share a more detailed view on our half year finance.
Rodolfo Savitzky: Thanks, Pierre-Alain. Good afternoon and good morning and a warm welcome to the half year presentation. Let's start with a look at our financial highlights. As Pierre-Alain already mentioned, Lonza delivered strong results in H1. Sales growth in constant currency was close to 15%. And importantly, the sales development was positive across all divisions. Core EBITDA margin was in line with a high first half in prior year. You will recall we closed 2020 with a 30.6% core EBITDA margin once you correct for the new adjusted performance measures. So our H1 2021 core EBITDA margin results are 2.7 percentage points ahead of the 2020 full year result. The chart here also shows we had some ForEx headwinds as the Swiss franc appreciated compared to the U.S. dollar. The currency impact at the margin level is offset through a natural hedge as our currency mix in sales is similar to the mix in our costs. Before we continue with the presentation, let me share a few comments on the overall results. As we have mentioned before, our business does reflect meaningful fluctuations from one period to the other. These movements are driven by customer demand, portfolio mix and growth investments. H1 2021 benefited from a combination of positive business mix and one-offs, which will not repeat in the second half. We will further discuss the H2 outlook at the end of this section. Here, we can see a little more detail on the different drivers impacting H1 core EBITDA margin compared to the prior year. As we accelerate investments in growth projects, we see a more pronounced negative impact from the ramp-up as these investments become operational. Recall, investments in new assets are preceded by operating costs with limited or no revenue. Some of these growth investments are mitigated by productivity programs, including our increase in yield and production throughput as well as overhead control. Categories such as Cell & Gene Therapy are also significantly improving operational performance, and therefore, contribute to our productivity and operational excellence result. Encouragingly, we are, therefore, seeing a positive margin evolution in this business over time. Now on the flip side, current Cell & Gene margins are still below the group average, and their increased share of revenue has a negative impact on margin mix. Here, we see a detailed view of divisional performance. Pierre-Alain will talk later about the business highlights for each division. For the moment, let me just reiterate a few key points. Every division showed significant growth well ahead of its reference market. In particular, small molecules achieved an exceptional 17% growth through the ramp-up of growth projects. Now turning to margin, we have mix developments. The negative evolution of Biologics core EBITDA mainly reflects the impact of growth projects. Excluding this effect, the margin would have been up 1.3 percentage points at 43.2%. Small Molecules benefits from favorable customer mix as well as productivity improvements. And Capsules & Health Ingredients delivered a strong margin, slightly ahead of our 35% guidance due to continued strong consumer demand in health and nutrition, improved pricing and operational excellence initiatives. Finally, the Cell & Gene division showed a steep improvement in profitability. In Bioscience, this was driven by discovery and testing. In Cell & Gene technologies, it was driven by operational improvements, and this business unit is well on track to breakeven in quarter 4. Operating cash generation was also particularly strong. The EBITDA progression versus prior year is negative as it reflects the CHF 284 million provision for the first phase of the Gamsenried landfill environmental remediation. Let me reiterate that we are confident that our proposed provision covers the majority of the total remediation cost. And then the impact of the remediation on cash will be spread over a period of more than 10 years. Net working capital slightly improved as a percentage of sales from close to 20% to 18.3%, and this reflects several different developments. On the one hand, we have optimized payment terms and collections, while inventories have gone up to ensure business continuity. As a result of the COVID pandemic, we have experienced some supply dislocation, which has been minimized through our team's strong efforts and has resulted in the need for higher safety inventories. CapEx reflects our continuous focus on investing behind growth. Recall, the CapEx level in 2020 was 20% of sales, and we guided for similar levels in 2021. In fact, we foresee an even higher level of investment in the balance of the year to ensure we are able to capture all possible growth opportunities. In order to provide additional transparency on the CapEx, you can see here a breakdown of the spending, both by division as well as by project type. Importantly, we're investing behind growth across all our divisions. However, due to the nature of the manufacturing requirements, the lion's share of our CapEx spending goes to the Biologics division. For example, we have recently announced a CHF 850 million combined investment in Biologics. Nonetheless, we have also communicated an investment of CHF 200 million in a new manufacturing complex in Visp for small molecules, and we're increasing the number of capsule lines as well as the number of suites in cell and gene technology to name a few. While some of the recently announced projects are not reflected in the first half numbers, they will have an impact on our future CapEx projections. The CapEx spending for the second half of the year will be much higher than in the first half, and we expect a level of CapEx spending for the full year of around 25% of sales. But let me underscore one of Pierre-Alain's points. These investments not only have an attractive return and an accretive impact on ROIC once they are fully ramped up. They have a low level of risk as, in many cases, a significant part of the capacity has already been contracted or committed ahead of the investment. And then finally, the second graph shows that 80% of our CapEx spending is deployed behind growth investments. The journey to become a pure-play strategic partner to the health care industry reached a major milestone on July 1 when we closed the divestment of our Specialty Ingredients segment to Bain and Cinven. While the closing fell on the second half of the year, the graph shows the pro forma impact of the CHF 4 billion net proceeds on our net debt position. Before the closing of the transaction, our net debt-to-EBITDA ratio was already at a strong 1.6x. With the proceeds, Lonza will have a net cash position of close to CHF 1 billion. And as already mentioned, the majority of the proceeds will be used to fund organic growth projects, and we will still be left with ample flexibility to consider strategic acquisitions to complement our portfolio of end-to-end offerings. In the context of all these attractive investment opportunities, I would like to reiterate our strong commitment to comfortably maintain our S&P investment grade at least at our current level of BBB+. Finally, on ROIC, we have seen a very positive operating profit before taxes, increasing 14% versus prior year, coupled with still a relatively low tax rate of 11%. This has translated to an 11.5% ROIC for the period. While the increase in average invested capital was only 5% for the first half, we expect this number to increase significantly in the second half, translating to a lower ROIC number for the full year. On taxes, we continue to see our underlying tax rate at 16% to 18%, but we still benefited in H1 from favorable profit mix and from favorable one-offs. Due to the reduction of our profit before taxes due to the Gamsenried provision, the impact of the one-offs is disproportionately high when measured as a percentage of the profit before tax base. And of course, this is reflected in the low effective tax rate of 11%. This leads me to my last slide before I hand the presentation back to Pierre-Alain. We expect another very strong performance for 2021. In fact, we are raising our guidance on sales from low double digit to mid-teens and confirming our guidance of margin improvement above prior year, in line with the midterm guidance trajectory. Margin will not follow a linear path, but not a hockey stick either. As we look to H2, we see an adverse mix effect relative to the first half, and the positive onetime items will not repeat in the second half. A lower margin in the second half will still translate into a nice year-on-year progression for the full year. Please keep in mind that we foresee an annualized level of sales to Specialty Ingredients from supply agreements of around CHF 150 million with very limited profitability, which will have a dilutive impact on group margin going forward. In 2021, the sales to Specialty Ingredients will impact only H2 performance, with approximately CHF 70 million to CHF 80 million sales, adding around 3.4 percentage points uplift to our constant currency sales growth and roughly 80 bps dilution to H2 margins. Still, importantly, sales growth, excluding the supply agreements with LSI, will be similar or slightly better in H2 versus H1 as we continue to see very strong demand and the ramp-up of our growth projects. Finally, our midterm guidance had already factored the impact of the Specialty Ingredients supply agreements. So midterm guidance remains completely unchanged. In summary, strong results in H1, positive revised guidance for the year and confirmed midterm guidance. Thanks for your time, and I will now hand back to Pierre-Alain.
Pierre-Alain Ruffieux: Thank you, Rodolfo. As we turn to focus on our division, this will be the first time that we share the detail of our divisional sales growth and margin level. Our restated financial were published in June, and this will provide you with the point of comparison for divisional performance in the previous reporting year. Our Small Molecule business is seeing a sustainable level of customer demand. This has enabled us to approve new growth project such as the CHF 200 million investment in a new manufacturing facility located in Visp. This will provide capacity for further future Small Molecule expansion. We have also introduced an improved level of focus into the Small Molecule business by completing the strategic divestment of our Ploermel and Edinburgh sites. These divestment mark our exit from both soft gel and liquid fill hard capsule for the pharma market. Our half year divisional finance showed a 16.5% increase in sales at constant currency versus H1 2020. We can also see a margin increase to 27.3% compared to first half of last year. As we look into the second half of 2021, we anticipate lower sales growth rates, alongside stable margin level compared to H1 2021. Turning to our Biologic business. We are seeing strong customer demand and contracting across technologies and scales. We have been able to meet this high level of demand by actively managing the supply impact arising from the pandemic. Specifically, our Ibex offering remain highly attractive to customer. There are high rate of utilization capacity and batch success rate across our existing Ibex asset. We have also recently announced a new collaboration with a biopharmaceutical partner, which will take a significant proportion of new capacity in Visp. We have seen a busy first half with our site in Guangzhou where our biologics operation have now come online, and we see several customer already signed. In H1, there has been a margin decrease to 38.2% in Biologics versus H1 2020. H2 margin may be somewhat softer than H1 '21, reflecting project mix, onetime effect and increasing impact of growth project. This has been combined by the 16.7% constant currency sales growth in H1 versus the first half of 2020. Compared to H1 2021, we expect -- we are expecting continued sales growth in H2. Cell & Gene is our new name for the division, which contained 2 business unit, Bioscience and Cell & Gene technologies. The financial performance of the whole Cell & Gene division can be seen here on the left column. Across H1, we have achieved 24.7% sales growth at constant currency, and our margin has improved to 16.1% versus first half of 2020. You will see that we have divided our Cell & Gene division in 2 to provide a more specific view on each of our 2 market and businesses. Looking first to the Cell & Gene Therapy business, we have delivered solid level of sales growth and continue to see positive margin evolution. Externally, this is driven by a growing customer pipeline and conversion rate. Internally, margin is driven by a focus on continuous improvement to support operational excellence. Looking at specific projects. We continue to make progress with Cocoon and plan further investment in clinical trials through our collaboration with biotech and cancer center. We're also pleased to confirm our first product approval for our Houston site, which is our global Cell & Gene Therapy center of excellence. Compared to H1, we expect to see continued sales growth in H2, alongside further positive margin development. We are confident that we will approach breakeven margin for our Cell & Gene Therapy business by Q4 of this year. Turning to the Bioscience business. We have seen positive sales momentum driven by discovery and testing as well as a solid demand for equipment and software. The Bioscience business is also continuing to leverage its product portfolio to support the cell and gene therapy industry. As we look to H2, we expect softer margin compared to H1 because of the business mix. However, we do expect to see continued sales growth in the second half of the year. Finally, let's take a look at Capsules & Health Ingredient. Our division has continued to perform through the pandemic, and we are proud to have reached our 5 trillion capsules since the business commenced operation. We continue to experience high capacity utilization driven by strong sales performance across the business. Across H1, there has been a margin decrease to 35.4% versus H1 2020. We have also seen a 5.8% sales growth in constant currency in H1 versus the first half of last year. In the second half, we anticipate slightly softer sales growth compared to the first half of 2021 as consumer demand level begin to return to prepandemic level. In H2, we are also expecting slightly softer margin driven by onetime business costs. As we conclude our tour of the division, I would like to take a moment to focus on H2 and the full year before taking your questions. First, let me share a little more detail on our 2021 outlook. We are pleased to confirm an upward revision to our sales growth 2021 outlook to the mid-teens. We also expect to achieve a core EBITDA margin improvement, in line with the midterm guidance trajectory. This is what we guided at the beginning of the year. This forecast assume a similar level of COVID-related impact and no significant unexpected adverse event. Before we open the Q&A question, I would like to finish with a snapshot of business priorities for H2. We are committed to maintain our existing growth momentum in the second half as we continue to increase capacity to meet customer demand and secure long-term growth. We will also continue to work on managing the external challenges of the pandemic while focusing on continuous improvement inside the business. With that, I thank all of you for your time and attention. And now we will take a 2-minute break to set up the video for the Q&A session. I will hand over to operator and look forward to seeing you in a couple of minutes.
Operator: [Operator Instructions]. The first question comes from Daniel Buchta from ZKB.
Daniel Buchta: Maybe on the margin progression now in the first half, which you've shown compared to the second half last year, I mean, I'm surprised that your margin trends were so strong. And maybe you could elaborate a little bit more on really what was driving this strong first half performance. Was it really the one-offs? And how material were they in absolute terms? Is the product mix really so different? Or are the productivity measures so material? I mean I'm simply struggling why the first -- second half last year was so weak, while the first half now is so strong.
Pierre-Alain Ruffieux: Rodolfo, can you take that one?
Rodolfo Savitzky: Yes. Happy to take that question, and welcome, everyone, now to the video part of the session. On the margin, well, first, let's take a reference point, which is last year. You also had these differences in margin between the first half and the second half. So that, to an extent, answers the question about the fact that we do have quite significant portfolio mix between the different periods we report. Now let me make a distinction here. We have 2 types of mix. The one that we represent in the graph is what I would call divisional mix. And you heard it from the comments here, Cell & Gene Therapy negatively impacted the mix as it has lower margins than the rest of the portfolio but is growing at a very high pace, right? So this is what we reflect in the chart. And here, the one-off for the first half is less than 1 percentage point. So it's -- that's what it is. Then we have a little bit of a negative divisional mix. But what is also impacting the results, first half versus second half, is the overall portfolio shift. But I said, this you saw last year. You would see it again this year. And the main driver, when we look at the two halfs, is really portfolio mix. If you think even of the special items, we have 2 of them. One is the one-timers that I just outlined. Then you have the impact of LSI, which, for the second half, will be roughly 80 basis points. They cancel each other. The impact of growth projects will be the same compared to prior year, right, again, for the different periods. So when you compare against the prior year, what you will see is -- and when you compare against the first half, the mix is well explaining the changes.
Operator: The next question comes from Matthew Weston from Credit Suisse.
Matthew Weston: Two, please. The first is on Alzheimer's. There's a huge focus in the investor community on the potential of Alzheimer's biologics. I'd be interested, are you seeing inquiries from any companies with Alzheimer's drugs in late-stage development? And I guess, more generally, how do you view Alzheimer's as a business opportunity for Lonza? And then the second question, if I can. You flagged the LSI revenue being booked going forward. Can you just tell us where that will be booked in the P&L as a revenue line item? Which of the subdivisions?
Pierre-Alain Ruffieux: Thank you, Matthew. So regarding Alzheimer, first of all, I think it's really a great new to see the first approval for all the patient, which need that. Clearly, I think we see an important industry implication with this first approval, but probably the approval to come, which will definitively drive demand. And relating to Lonza, we have not baked any upside currently in our forecast. But basically, a great opportunity for patient and for the CDMO business. Rodolfo, you want perhaps to take the time of booking?
Rodolfo Savitzky: Yes. So that's relatively straightforward. It would be in what we call our corporate or Lonza headquarter operations reporting. This is where we would book the revenue associated with the supply agreement and the corresponding profitability, which, as I said, is relatively small.
Operator: The next question comes from Patrick Wood from Bank of America.
Patrick Wood: I'm just curious on the capital deployment side because, obviously, LSI proceeds are quite large. And you said you'd have some sort of money leftover for M&A on the drug product side. I guess, is there a maximum amount of internal CapEx you guys could run from a project management perspective in any given year? I mean is it CHF 1 billion? Is it -- could you do CHF 2 billion? Is it a CHF 1.5 billion? Is there a ceiling where just managing it above that just becomes unwieldy in any given year? I'm just curious to understand how you're thinking about deploying our capital over the next couple of years.
Pierre-Alain Ruffieux: Thank, Patrick, for the question. Obviously, to spend capital, you need 2 things. You need the money that we have, but you need also the internal resources on engineering. So we have announced today that we'll be probably in the range of 25% for this year. Having a couple of resources, if needed, we can do more. But obviously, you should expect things in this kind of magnitude.
Patrick Wood: Very clear. And if I could just sneak in one very quick one. The LSI contract, is that still in place next year? Is this kind of a semi perpetuity thing? Or is it just a one-off for 2021?
Rodolfo Savitzky: No, no. This is a, call it, to an extent, a long-term supply agreement. We have 2 different types of, let's say, agreements with Specialty Ingredients at this stage, of course, transitional service agreements, which are reported in the overhead part, and then they are offset in the other income. So the impact to the P&L is minimal. And this, of course, will have the normal duration for such type of agreement. The supply agreement is more considered a long-term agreement with Specialty Ingredients.
Operator: The next question comes from Charles Weston from RBC.
Charles Weston: Just one clarification question to start with, please, on the Cell & Gene division. I recollect that the [indiscernible] you presented, all be it illustrative, indicated that Bioscience and Cell & Gene technologies were roughly similar. And you've indicated that Bioscience margin might be down and Cell & Gene technologies might be up. But what does that mean for the division as a whole from an EBITDA margin perspective? And then the main question, please, on Moderna vaccine revenue. You've indicated how much that might be for this year given the line capacity extension coming on towards the end of this year and early next year. How should we think about that for 2022, please?
Pierre-Alain Ruffieux: Okay. So regarding Moderna, we provide some guidance last year because I think it was different expectation in the market, and it was not clear. We are not going to provide more detail. But if you just make an estimation on [indiscernible], what we provide last year, the fact that we are going to double the capacity, you should probably make estimation, which are not out of the range. Rodolfo, you want to take the one on Cell & Gene Therapy?
Rodolfo Savitzky: Yes. So the Cell & Gene division, indeed, it has these 2 components in -- as Pierre-Alain clarified, which is Biosciences and Cell & Gene technologies. And we're separating them because the dynamics are different, and also the business models are different. So with the Bioscience, specifically, we saw a very positive mix in the first half that we don't expect in the second half. Again, in the different categories, we saw strong results in discovery and in testing. And then in Cell & Gene technologies, we see a very good improvement in operational performance. But the famous milestone, which is the breakeven in the second half of this year, we believe it will happen. So it's still a -- the next step for this particular unit.
Charles Weston: And so as a whole, would they roughly offset each other?
Rodolfo Savitzky: As a whole, we expect slightly lower margins in the second half, as explained.
Operator: The next question comes from John Kreger from William Blair.
John Kreger: My question relates to CapEx. You indicated it will be higher for the full year as a percent of revenue. Should we view that as kind of a new normal for the next few years? Or if not, when would you expect that percentage to normalize? And what would you consider to be kind of a longer-term metric for us to think about?
Pierre-Alain Ruffieux: So thank you for your question. As we have indicated, we see currently a very great opportunity to make further investment with very nice return. The demand is here, and we see that at low risk. This may probably last for a couple of years. But then I think we will go back to what you have seen previously, probably between a range of 15% to 18%.
Operator: The next question comes from KC Arikatla from Goldman Sachs.
Krishna Arikatla: I have one, please. For 2023 EBITDA margin, given that you'll start having a bigger sales contribution from 2022 and beyond from all the new capacity that you have added recently, and I suspect these sales come at very good margin given that you've already invested in upfront CapEx, wouldn't the 2023 margin be above where your guidance range is? Or are there any other factors that are likely to pose headwinds to margins in '22? It would be great to hear your thoughts.
Pierre-Alain Ruffieux: No. Thank you very much for your questions. Actually, the focus of today discussion will remain on '21 half year and full year, and really invite you for our Capital Market Day later this year where we would discuss more '22 and following years. So we are not going to comment on '22 today.
Rodolfo Savitzky: But just to be clear, we are definitely confirming the midterm guidance. You heard it from myself and from Pierre-Alain. And don't underestimate, as you have seen the results today, that a lot of the investments we are doing will have a negative impact on margin. Of course, we are offsetting that through productivity and efficiency. And of course, some of the growth projects become profitable. But many of these investments have a relatively long-term horizon.
Operator: The next question comes from Richard Vosser from JPMorgan.
Richard Vosser: Just a clarification question on Moderna. You said, I think, Pierre, that want to think about the doubling capacity estimates would give an idea of potentially the sales going forward. I presume that's assuming that Moderna's contract and want to use all the vaccine. Is there sort of any like contracts in the past, take or pay or something, we should worry about that if we don't need -- or the world doesn't need all of that vaccine, what happens from your point of view?
Pierre-Alain Ruffieux: No, thanks for your question. We -- my point of doubling was just a kind of general direction. We're not going to the detail of the contract with Moderna, with many customer who we have what we call suite fees, and I think you should not anticipate changes in the short term regarding the Moderna income.
Richard Vosser: Okay. So just to clarify, you -- previously, you said sort of CHF 110 million, we should think about maybe that continuing into '22, but we shouldn't think of that becoming CHF 200 million, for example?
Pierre-Alain Ruffieux: It's not what I mentioned. I think we guided last year at CHF 110 million. Clearly, you have seen we are doubling capacity. And what we mentioned is the profitability to going ahead will be in the broad corridor of the Biologics division.
Operator: The next question comes from Peter Welford from Jefferies.
Peter Welford: My question is regarding, again, capital allocation and M&A. I mean given you've obviously moved already into a net cash position, and I think even with your elevated levels of CapEx in the future, free cash flow will largely cover those incremental growth projects. So when we look at the allocation, therefore, of the CHF 4 billion of the proceeds, I mean, should we consider that this is going to be earmarked for a significant transaction? Should we instead consider it's more going to be a number of smaller bolt-on deals? And if there's any sort of framework you could provide, that would be useful. And equally, with regards to Cell & Gene, obviously, we've seen some significant growth projects announced in Biologics. In Cell & Gene, though, given the significant movements going on in the industry at the moment, is there likely to be -- or what's the thinking behind not yet deciding to allocate and build a dedicated incremental facility for Cell & Gene Therapy? And then if I could just ask sort of a clarity on the third-party base, kind of at the long-term supply agreement, does this really relate to the use of the Visp site? Or is this actually sort of more complicated than that? And so I guess when we think about this, we should really consider this to be just an ongoing sort of objective?
Pierre-Alain Ruffieux: Thank you, Peter, for your question. Starting with Cell & Gene Therapy. I think we have announced that we are increasing the number of suite for Cell & Gene Therapy. Obviously, as mentioned by Rodolfo, the capital requirement in Cell & Gene Therapy had definitively much smaller than some of the large assets in mammalian for the first point. Regarding capital allocation, do you want to take it, Rodolfo?
Rodolfo Savitzky: Yes. Happy to. So again, without getting into too much detail, if I think the bigger picture of the capital allocation, I would say the majority of the funds will go to internal organic projects. That's the first statement. The second, let's say, frame in the answer is we want to remain clearly investment-grade rating, as I said, minimum BBB+. And the fourth element is the remaining funds. We plan to use for strategic M&A to complement our portfolio of end-to-end offerings, which means we don't foresee a big transaction. This is definitely not in the cards, but more specific bolt-ons to complement the portfolio. And maybe I quickly take the last question because it's technical and for finance. It is not only Visp. Of course, Visp, obviously, it's a big proportion of that supply agreement, but there are other sites where the 2 companies work together and where we would need to have supply agreements. With different durations, I don't want to get into details. But the main one, which is, I would call it, a long-term supply agreement is the one related to Visp.
Operator: The next question comes from Daniel Jelovcan from Mirabaud.
Daniel Jelovcan: Also, please one question to Small Molecules. Just to understand the different semesters. I mean in H1 last year, you had 23.8% EBITDA margin. And now with the superstrong growth, you have 27.3%, so plus 250 basis points. And now for the second half, you guide a similar margin like in the first half. When I look now at the second half of 2020, you had 38.2%. That would mean that you have a decline of 300 basis points year-over-year, and I don't understand this, or do I have something wrong in my assumptions?
Pierre-Alain Ruffieux: So Daniel, I will take your question. Obviously, the margin is strongly depending on the product mix, and we may have different campaign 1 year or the other or the rhythm of campaign is not always the same. So it's why you may see differences between different half year. And this is just the nature of the business of contracting and having different client at different time.
Operator: The next question comes from James Quigley from Morgan Stanley.
James Quigley: I've got one on the productivity improvement. So how much of an ongoing sort of factory will the productivity improvements be? You said today earlier that you're going to hire 2,000 more employees in the second half of this year. Presumably, that's going to impact the first half of next year as well from a margin perspective, but how much is less to go from the productivity improvements? And how long and how much, I suppose, in terms of cost savings or offsetting factors will that remain a factor in terms of offsetting the investments in the sort of -- in the high CapEx period to come?
Pierre-Alain Ruffieux: Well, James, thank you for your question. Continuous improvement, it's a key part of our business. Compared to other industry, you should not see that as a cost cutting. But as we mentioned, it's improving yield, improving processes, bringing automation. And as you see, we see differences part of the business. We may have a highly automated part of the business like Small Molecule or Biologics, and you may have a more intense labor work like Cell & Gene Therapy, where we go with solution like Cocoon. So again, you should you should consider that we will continue to do strongly continuous improvement, and it's probably in average between 2% and 5% a year, but not in a linear way.
James Quigley: And if you could just sneak in another one more of a big picture question, really. So when Biogen had their approval presentation for ADUHELM, they disclosed an impressive yield. I think they were talking about sort of 10 grams per liter, and that's sort of allowing them to do a lot of the manufacturing internally. From a sort of a long-term perspective, how much of that is a risk for your business that the yields are improving significantly, so the capacity you have today is going to be sort of not obsolete, but you'll need less of it in the future?
Pierre-Alain Ruffieux: We don't see that risk. We are going exactly in the same direction. I think we try to have the best performing cell line, and this is part of our offering to customer. So continuous improvement in this field is really key, and we are going the same way.
Operator: The next question comes from Deng Xian from Berenberg.
Deng Xian: Just one, please, on CapEx. I mean I understand you will talk about the midterm guidance at a later stage. But just wondering with the increased CapEx investment, I'm just wondering how should we think about the downstream sales impact. Should it be longer than the midterm guidance period? Just wondering how should we think about that.
Pierre-Alain Ruffieux: You take it, Rodolfo.
Rodolfo Savitzky: Yes. So again, look, when we talk about the midterm guidance, as we progress, of course, it becomes a bit of a misnomer right now, where in 2022, we're talking about the results in 2023. Here for the time being, I reiterate again, no change. But a lot of the investments we're talking about, which are starting, right, as we speak, the impact we will see clearly beyond the midterm guidance. And there, you're absolutely right. Compared to, let's say, a plan that we had before, we will see a significant stronger plan. But as Pierre-Alain said, today is the day we talk about half year results and not about midterm guidance. But please keep in mind that many of the investments we are announcing today, the impact will be, I mean, beyond the midterm guidance in a way.
Operator: The last question comes from Peter Verdus from Citi.
Peter Verdult: Peter Verdult, Citi. Can you hear me?
Pierre-Alain Ruffieux: We hear you well, yes.
Peter Verdult: Can we just go back to capital allocation, Pierre-Alain? Can you just give us a flavor as to where your end-to-end offering you feel that you have a gap where you want to strengthen in terms of strategic acquisitions and perhaps a little bit, again, flavor on the technologies you're looking to either acquire or increase your exposure to. A little bit more on the capital allocation side, please.
Pierre-Alain Ruffieux: Well, thank you, Peter, for your question. No, we already speak about the path that we are offering a broad range of services. And probably, if there is one gap in our offering, it's fill and finish. So obviously, we continue to look at that. Except it, I think you probably need to have a look on our general offering. We try to be in very specific technology with high entry barrier where we can bring value to the customer. And definitively as we permanently scouting different technology coming, we may be doing that. Again, if we have a look in the past, we were entering mRNA. So we are always looking for these kind of technologies. But I will not provide more detail at this stage. With that, I would like to thank all of you for attending the session today, and I wish you an excellent end of the day. Thank you.
Rodolfo Savitzky: Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.